Operator: Good day, and thank you for standing by. Welcome to OneWater Marine's Fiscal Fourth Quarter 2023 Financial Results Conference call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Mr. Jack Ezzell, Chief Financial Officer. Please go ahead, sir.
Jack Ezzell: Good morning, and welcome to OneWater Marine's Fiscal Fourth Quarter and Full Year 2023 Earnings Conference Call. I am joined on the call today by Austin Singleton, Chief Executive Officer; and Anthony Aisquith, President and Chief Operating Officer. Before we begin, I'd like to remind you that certain statements made by management in this morning's conference call regarding OneWater Marine and its operations may be considered forward-looking statements under securities law and involve a number of risks and uncertainties. As a result, the company cautions you that there are a number of factors, many of which are beyond the company's control, which could cause actual results and events to differ materially from those described in the forward-looking statements. Factors that might affect the future results are discussed in the company's earnings release, which can be found in the Investor Relations section on the company's website and in its SEC filings. The company disclaims any obligation or undertaking to update forward-looking statements to reflect circumstances or events that occur after the date the forward-looking statements are made, except as required by law. And with that, I'd like to turn the call over to Austin Singleton, who will begin with a few opening remarks. Austin?
Austin Singleton: Thanks, Jack, and thank you, everyone, for joining today's call. I would like to begin by thanking the OneWater team for their solid execution in the challenging operating environment. Despite the return to historical buying patterns and normalized pricing, we delivered record revenue in 2023, which increased 11% on top of the 42% growth in 2022. Furthermore, the team delivered same-store sales growth of 3% for the full year. For the quarter, same-store sales of 14.6% significantly outperformed the industry, which market data indicated was down high-single digits. Full year revenue from our higher-margin service, parts and other sales grew 26%, which helped us offset the expected decline in new boat margins as the industry returned to normalized pricing. Margins in the fourth quarter were in-line with the third quarter, which is encouraging. Overall, we believe that margins will continue to fluctuate the seasonality in model mix, but it does seem to feel like boat margins were stabilizing. OneWater's proven track record of managing through various economic cycles served us well during 2023. Over the past year, our proactive and aggressive approach to inventory management resulted in inventory levels at 19 weeks on hand compared to an industry average of 25 weeks on hand. We continue to aggressively work down non-current inventory, saving on interest expense and other carrying costs. This positioned us with a good supply of model year 2024 boats compared to 2023, which provides a more compelling sales opportunity. This competitive positioning in a market flooded with non-current inventory is driving results today and set us up for success in the quarters to come. I'm pleased to announce that earlier this week, despite the difficult banking environment, we were able to increase our floor plan facility by $100 million to a total capacity of $650 million. This will support the business and recent completed acquisitions. It's important to note that while same-store sales inventory hasn't grown in terms of units compared to 2019, it has increased more than 40% on a dollar basis. This additional capacity provides us greater flexibility, especially as we integrate the dealers we have acquired over the past few years. We also completed a sale leaseback agreement for Roscioli Yachting Center, which bolstered our cash, allows us to sharpen our focus on Sunseeker Yacht sales, warranty and service operations. The proceeds from the sale were used to pay down a portion of our long-term debt and to acquire the remaining 20% interest in Quality Boats located on the West Coast of Florida. As a reminder, we first acquired a major interest back in December of 2021 and have been pleased with Quality's performance in one of the most attractive boating markets in the country. On the M&A front, deal pipeline continues to be attractive, and our strong balance sheet provides dry powder for the right deal. While we are seeing plenty of activity, we are being extremely selective and scrutinize every opportunity to find the right dealership to add to our portfolio. In summary, I'm proud of our team's execution while navigating industry challenges as we return to a more normalized operating environment. We continue to work tirelessly to provide our customers with the boat [Technical Difficulty]. We remain nimble in our response to changing market dynamics and continue to focus our efforts on strategic priorities that position OneWater for long-term success. With that, I'll turn it over to Anthony to discuss business operations.
Anthony Aisquith: Thanks, Austin. Despite the normalizing the sales environment, our team remains active in delivering a solid close to the summer selling season. Customer sentiment is holding up and the fourth quarter same-store sales was over 14% was supported by strength from new and pre-owned boat sales. Our manufacturing partners continue to be very innovative on building exciting new models in the premium segment with unique features that customers want. We saw this excitement firsthand at recent boat shows, including the Fort Lauderdale International Boat Show, which [indiscernible] activity. While we're too early in the boat show season to draw on a conclusion, we are off to a good start. Turning to our higher-margin businesses, finance and insurance income for the fourth quarter was also up slightly, though not proportionately to boat sales due to the current spread on the interest rate. The average customer seems to be getting used to higher interest rates and credit continues to remain widely available and widely used. We believe the majority of the customers use some degree of financing to pay for a portion of their purchase. To this point, approximately 70% of new boat customers in the September quarter financed a portion of their purchases directly with us, which is on the high side of historical averages. From where we sit today, our customers are generally adjusting the higher cost of financing their boats tend to be somewhat insulated from interest rates and economic headwinds. Overall, we believe our retail strategy has positioned us to continue to outperform the industry. With that, I'll turn the call over to Jack to go over the financials in more detail.
Jack Ezzell: Thanks, Anthony. Fiscal fourth quarter revenue increased 13% to $451 million in 2023 from $398 million in the prior year quarter. New boat sales grew 12% to $264 million in the fiscal fourth quarter, while pre-owned boat sales increased 36% to $92 million. We are pleased with the pace of boat sales that have outperformed industry reports despite the challenging macroeconomic environment. Revenue from service, parts and other sales for the quarter increased 1% to $82 million compared to the prior year and finance and insurance revenue grew 2% to $13 million in the fourth quarter. These sales gains generated over 14% same-store sales growth for the quarter, which significantly outpaced the industry. Gross profit decreased 6% to $119 million in the fourth quarter compared to $126 million in the prior year, driven by the normalization of gross margins on boats sold. Gross profit margin appears to be stabilizing when compared to the June quarter, but has declined from the fourth quarter of last year. We now expect margins to fluctuate with historical seasonal patterns and model mix. In the pre-COVID era, we typically benefited from stronger margins during the summer selling months with a mix shift to higher unit volumes and lower ASP as opposed to the slower winter months, where the mix shifts to higher ASP with lower margins. Fourth quarter 2023 selling, general and administrative expenses increased to $85 million from $80 million. SG&A as a percentage of sales was 18.8%, down 120 basis points from the prior year, driven by the variable cost structure of the business, cost optimization and integration efforts of the acquired parts and service businesses. In the fourth quarter, the company reported a non-cash impairment charge of $147 million. The charge is primarily related to the write-down of goodwill and identifiable tangible assets that were reported in our Distribution segment and was largely driven by the recent decline in the segment results, the stock price and the overall valuation. We believe there's tremendous value in our Distribution segment, which we will be realized as part of our long-term growth strategy. As a result, we posted an operating loss of $117 million compared to income of $40 million in the prior year. Net loss for the fiscal fourth quarter totaled $111 million or $6.89 per share compared to net income of $22 million or $1.28 per diluted share in the prior year. Excluding the impairment charge and other adjustments, we reported adjusted EBITDA of $28 million compared to $45 million in the prior year. We have also introduced a new metric, adjusted earnings per share to assist with the comparability of the results. Accordingly, for fiscal fourth quarter of 2023, our adjusted earnings per diluted share was $0.42 compared to $1.68 in 2022. Turning to our full year results. Total revenue for the year 2023 increased 11% to $1.9 billion compared to the prior year, driven by an increase in the average unit price of both new and pre-owned boats, an increase in the unit sales of pre-owned boats and sales growth from higher-margin businesses. Same-store sales increased 3% in fiscal 2023. Additionally, service, parts and other revenue increased 26% to $322 million for the fiscal 2023, driven by contributions from our recently acquired businesses and dealer operations. Full year 2023 gross profit decreased 3% to $535 million compared to the prior year as a result of industry-wide normalization of boat pricing, partially offset by meaningful contributions of acquired parts and service business. Gross profit margin for fiscal 2023 was 27.6%, a decline of 410 basis points compared to fiscal 2022. Selling, general and administrative expenses in fiscal 2023 increased to $346 million, or 17.8% of revenue from $302 million, or 17.3% of revenue in fiscal '22. The increase in SG&A as a percentage of revenue was driven by the return of more traditional promotional environment and higher costs associated with our acquired service, parts and other businesses. We will continue to moderate cost with our variable expense structure and bring the higher expense structures of the acquired businesses in-line with the legacy business. Full year 2023 operating income fell $18 million compared to the prior year's operating income of $218 million, primarily driven by the $147 million impairment charge reported in fiscal year 2023. Net loss for fiscal year 2023 was $39 million or $2.69 per share compared to net income of $153 million or $9.13 per share in the prior year. The business generated adjusted EBITDA of $167 million for the fiscal year 2023, and adjusted earnings per diluted share of $5.10 compared to $10.55 per diluted share in 2022. Turning now to the balance sheet. On September 30, 2023, the total liquidity continues to be in excess of $100 million, including $85 million of cash and availability under our credit facilities. As Austin mentioned earlier, we entered into a sale leaseback transaction disclosed on September 30 that did not fund in October 2nd. As such, $45 million proceeds reflected as a receivable on our books at the close of the year. While the sale has a slightly negative impact on adjusted EBITDA, overall, it increases cash flow on an annual basis. Subsequent to year-end, we used $25 million of proceeds to pay down long-term debt and the balance to purchase the non-controlling interest of Quality Boats. Total inventory on September 30 was $610 million compared to $373 million at September 30, '22. As a result of improved lead times and industry normalization, our boat inventory has returned to pre-COVID levels, and both units are up less than 1% compared to fiscal 2019 on a same-store basis. Long-term debt currently stands at $458 million, a net debt to adjusted EBITDA ratio is 2.2x. We are comfortable with our liquidity and leverage position, and we'll continue to monitor the macro environment as we manage our balance sheet. Looking ahead to 2024, we expect demand and margins to continue to moderate to more traditional seasonal cycle and are not assuming a major economic downturn or a recovery as part of our outlook. We anticipate same-store sales to be up low to mid-single digits. We expect adjusted EBITDA to be in the range of $130 million to $155 million, and earnings per diluted share to be in the range of $3.25 to $3.75. We would like to note that beginning in fiscal year 2024, our adjusted EBITDA calculation will exclude stock-based compensation and will remain part of our definition for both guidance and results on a go-forward basis. We feel this methodology is more in-line with industry standards and provides better insight into the company's true performance. Our fiscal fourth quarter and full year 2023 results provided under the historical definition, but I would like to direct our investors to the reconciliation tables in this morning's press release for further explanation of these factors. Finally, our capital allocation priorities remain unchanged. We will continue to monitor the macroeconomic environment as we conservatively evaluate opportunities to deploy cash. We will also continue to explore opportunities like sales leaseback transactions, which improved the balance sheet and annual cash flows. We remain disciplined in our approach and unwavering our commitment to drive long-term value for shareholders. This concludes our prepared remarks. Operator, will you please open the line for questions?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Michael Swartz with Truist Securities. Your line is now open.
Michael Swartz: Hey, guys, good morning. There was a lot of static on the line during the pre-recorded comments, so I apologize. I missed a few things. But in terms of the -- I guess, the transaction, the sale leaseback, combined with the purchase of the non-controlling interest in quality, did you quantify or could you quantify what, I guess, that actually means to the P&L or to guidance for 2024?
Jack Ezzell: Yeah. When you look at it, right, so when you look at our two divestitures we had in late September, that was about a $3 million hit to EBITDA. There's no -- the purchase of the remaining portion of Quality doesn't impact EBITDA, but it certainly will -- it impacts cash flow, right, because we were having to pay out earnings of that business through distribution. So, it nets out the whole -- those two transactions end up netting out a positive about a $3 million to $5 million cash flow when you look at the reduced interest cost and the reduced distributions even though we have those lost earnings.
Michael Swartz: Okay. That's awesome. Thanks, Jack. And then just maybe as it pertains to your broader commentary on fiscal '24 guidance, I mean, I think you said you expect a normalization of, I guess, seasonality in margins. Should we be thinking about -- on the new boat side, should we be thinking about new boat margins kind of getting back to that high teens, whether that's 18%, 19% level going forward?
Jack Ezzell: Yeah. I think if you look at the last two quarters, that's kind of where we've been. We've been right around 20%. So, I think in that high-teens is kind of where it seems. It feels like it's normalizing. Certainly, as we go forward, what that means is the June and September quarters, we had that reset on new boat margins. So, now as we look into Q1 and Q2 of next year, right, we're up against much higher comps in terms of that new boat margin. And so, I think that will -- certainly, as you think about modeling and as you lay out the quarters, you got to remember those, we still need those first half of the year kind of to reset on the margin standpoint. And so that means Q1 -- if we go back many years, I know you've been around a while, Mike, we can remember times when the Q1 was a breakeven-type quarter. I think we'll be positive from an EBITDA perspective. But certainly, as you look at net income, earnings per share, we're going to probably getting back to that type of environment. But that's just kind of the normal seasonality of the business, where in the December quarter, things slow and then they pick up with the winter boat shows into the spring and summer.
Michael Swartz: Okay. Great. And then just final one for me is, I guess, just with the new store or new comp -- or comp store sales, sorry, outlook for the year ahead, maybe give us a sense of what the pieces are there in terms of your industry volume outlook versus price versus maybe market share?
Jack Ezzell: For sure. I mean, look, I think we're always looking to exceed the industry and gain market share as we think about the industry and I don't think anybody is expecting unit volume be up dramatically. I think we're looking at probably more around a flat unit volume, a little bit of price increase. It's not -- I think that's probably the best way to characterize it.
Michael Swartz: Okay, thank you.
Jack Ezzell: Thanks, Mike.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Craig Kennison with R.W. Baird. Your line is now open.
Craig Kennison: Hey, good morning. Thanks for taking my questions as well. It seems like the big story in the last few months has been the rise in interest rates until recently. And I'm just wondering if you see in your consumer profile, a profile that's somewhat immune to those interest rate increases and then a consumer profile that really is reacting to that impact on the monthly payment. Just wondering if you see in your data where that line of demarcation might be.
Austin Singleton: Yeah. I don't -- Craig, I don't think we really deal -- the products that we carry, I think, are a little bit more -- that buyer is a little more insulated to the point. I mean, Anthony has a good number. He's kind of been playing around with this. I'll let him jump in. But I think we're a little bit more insulated and it's not affecting our buyer as much now. One thing I do want to point out is, I mean we spend a lot of time and effort in training and making sure the process that we've had in place for years is the best in the industry that gives us and keeps us in that mid-60% penetration rate on financing, where I think the industry is much, much lower than that. And if we didn't work and have a process that we, I mean enforced with the iron fist, I don't think we would be that high. And even as high as we are, we still feel the majority of the customers are financing, they're just getting their money from somewhere else. So Anthony, you want to jump in on that stuff that you kind of playing around with it?
Anthony Aisquith: Yeah. I mean if you look at it at $100,000 mark is basically when you take all the noise of the big boats out, from three years ago to today, it's about $183 a month difference in the payment. And really, we're not seeing people back away from $183 more a month than they did two or three years ago. So that's really what the math comes down to when you take 3 percentage points over 240 months, it's $183 more a month that the consumers having to pay. So, we're not seeing anybody falter or back away from that at all.
Craig Kennison: And I think I heard during your prepared remarks, Anthony, something with respect to the F&I penetration rate. And I guess I'm curious how does the F&I penetration rate change over time? I know it's a very good number for you. I think you said over 60%. But I'm curious if consumers who have the option to take it or not just based on their own personal situation rather than the need to finance a boat, if you see your penetration kind of slip a little bit.
Anthony Aisquith: No. Actually, in the quarter, our new boat penetration was at 70%. We honestly believe that about 90% of all customers finance, just maybe not all through us, they're borrowing against their own money, they're borrowing against their HELOC on their home or what have you. They're not actually fully paying cash for the boat. So, we just try to -- over the years, we've -- our target has always been 65%-plus. And our new boat finance penetration rate for the fourth quarter was actually 70%. It's just a process is in place in our -- the way we sell.
Austin Singleton: I think, real quick, Craig, one thing like when we talk about this process, it's pretty easy if you train and you got not only the business manager, but the sales guys, if they talk and start setting this up from the beginning, it's not hard to tell somebody, "Hey, this is a simple interest loan, no prepayment penalty. If you're buying a $200,000 boat, sure, you've got $200,000 sitting over here somewhere else. So, you can always pay that boat amount. You can always pay it off tomorrow, but don't you think that, that $200,000 could be used somewhere else at a better use." So, just crafting the way that we script and we talk to people and stuff like that, it's kind of like, "Yes, I can pay my boat off any time. It's more of a luxury. Well, why don't I take the money and put it in the market? Or why don't I do this with it? Or why don't I keep it just as a fresh liquidity?" So, you kind of build that story through the whole process, and that's kind of one of the things that we've done over the last seven years that's really allowed us to increase that rate. And I think that's why our penetration is higher. It's just -- again, it goes back to the process starting from the minute you meet the customer. And it's just the little things that you add in on as you're going through the sales process to get to closing that boat.
Craig Kennison: Great. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Joe Altobello with Raymond James. Your line is now open.
Unidentified Analyst: Good morning. This is Martin on for Joe. Just wondering if we can get a little more color around the EBITDA guidance for next year. And I believe you are now including stock-based comps. So just wondering if we can get a number or some kind of direction around that as well.
Jack Ezzell: Yeah, no problem. Just on the stock-based comp, it's about a $9 million number for next year. When you look at the guide, right, and you look at where we printed this year, you think through the first half of the year and normalizing margins. So I think if you go through a process in calculating kind of what's that margin differential when you back out that $3 million that I mentioned before for Roscioli and the Lookout divestiture, it gets back to -- it gets you to about that $155 million number. So, while we're cautiously optimistic about next year, I think there are a fair amount of headwinds. We recently got some good inflationary-type news or some moderation of inflation news here in the last day or two. But it seems like that information is people are really excited about it one day and then something else comes out two days later, and we're back in a different camp. So, we're going to control what we can control. We're going to sell as many boats as we can and stay hyper-focused on that, stay hyper-focused on making sure we have the right inventory at the right locations that it's ready and available for sale.
Unidentified Analyst: Got it. It's very helpful. Just another question, guidance, does that assume the current trends when it comes to retail throughout the fiscal year? Or you think it will start improving into summer?
Jack Ezzell: Yeah. I think there's a lot of unknowns at this point with the year as we look towards recent boat shows and most recently with Fort Lauderdale, we're certainly encouraged, but I think it's just a little too early in the year to tell. I think as we get through the winter boat shows, often kind of that boat show season from November, Lauderdale to Miami type timeframe typically gives you a good sentiment for what the rest of the year is going to look like and what the season is going to look like. And so, we're cautiously optimistic. The low to mid-single-digit guide is, like I said this earlier, I was assuming basically a flat unit type environment. So, we're being cautious. But there's -- like I said, there's just a lot of unknowns with the macro that could be headwinds against us.
Unidentified Analyst: Got it. Thank you very much.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Griffin Bryan with D.A. Davidson. Your line is now open.
Griffin Bryan: Yeah, thanks. This is Griffin on for Brandon. Can you talk about any recent category trends you've seen over the last 45 to 60 days, anything to call out there as we head into the show season?
Austin Singleton: Well, I mean, I don't think anything over the last 45 to 60 days has changed, there's been any significant change. I mean, obviously, we've had a good -- coming out of the good Fort Lauderdale Boat Show, that's a bigger boat mix. So, that's -- it's not a fair evaluation of the last 45 to 60 days. I think that it's really been the consumer -- if there's any trend that we're seeing is the consumer is shopping a little bit harder, and it's pretty broad across all brands, makes, model, segments. I think when you look at the SSI data, it kind of speaks probably to the best generalization of the industry, we have certain segments that are doing better than others. But when you look at us, Anthony, if I'm wrong, let me know, but it just seems like everything is kind of toe in the line. It's just -- it's a hard-fought battle out there, but I don't have -- we don't have any shining stars or anything that we're like, "Oh my gosh, you got to get rid of these things."
Anthony Aisquith: No, not at all. There's nothing, but we still have several of our manufacturers that continue to be very innovative that make people want to buy the boat. So, there's new boats that continue to come out that are doing very well.
Griffin Bryan: Okay. Great. And then, can you just give any color on OEM promotions you've seen as of late? And how those promotions may compare versus previous years?
Anthony Aisquith: We didn't have them in the previous year. And yes, they are plentiful now. The manufacturers are standing behind the dealers and making sure we're moving through inventory.
Austin Singleton: Yeah. I think the manufacturers going into that -- the month of June, I think they were, "We're not going to have to do this. We're not going to do this." And I think it was just -- that last couple of weeks of June was a reckoning for us all. And I think they understand that dealers are nervous about inventories building. They're not ordering as many 2024s, and so they came out and got pretty aggressive into the summer. And I think they're continuing that knowing that we've got to get the inventory in the field, right? I mean -- and we're actually today, I'm much more positive about the industry than I was at the end of last quarter. Having a lot of conversations with Wells Fargo and how their book of business on the floor plan looks, it's looking a lot better. And if we can continue that momentum and that trend through the end of the year -- Lauderdale was a good sign. Everybody was feeling really good coming out of there. If that continues through the end of the year, we can go into next selling season with a very healthy industry compared to what we thought 90 days ago. So, that could be a little shining star or a bright light that we just kind of got to wait and see what happens over -- through the end of the year through January.
Griffin Bryan: Great. That's all from me. Thanks.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Noah Zatzkin with KeyBanc Capital Markets. Your line is now open.
Noah Zatzkin: Hi. Thanks for taking my questions. Maybe just one on the same-store sales strength during the quarter. How much of that would you attribute to your customer relative to the broader industry consumer versus inventory versus operating differently than maybe the broader industry dealer base? Just any thoughts around the strength relative to the industry would be helpful. Thanks.
Austin Singleton: Well, I mean, of course, we want to jump in there and talk about how our CRM system, we feel, gives us a leg up over our competition, our processes and the things that we do or why we're able to continue to take market share and grow. I mean -- but I think a little bit of it is the consumer is still active. I'm still going to beat on the drum that -- it appears that a lot of people are still moving on or near water. And when people move on or near water, they want a boat. And then, so that's still happening. And then you've got the churn of the what I would call the professional boater that owns several boats that kind of was out of the market during COVID because they didn't want to wait that long. They didn't want -- they knew the pricing weren't going to be there forever. So I mean, it's just -- it's an overall good market. And I just think that our processes and our procedures help us along with that. And then, we're out there for the first time, what in like three years with promotional rebates coming from the manufacturers as incentives. So that helps a lot, too. So I think that those two things are helping OneWater kind of buck the industry and gain market share.
Noah Zatzkin: Really helpful. And maybe kind of relatedly, I know you touched on this, but just in thoughts -- in terms of your thoughts around M&A, just given relative outperformance taking share, like is the pipeline more full than it was three months ago? Or how do you think about the opportunity in the next year?
Austin Singleton: No, I think the pipeline is kind of held steady, just like it didn't jump up, it didn't decrease. It's just kind of been steady. I think when you look at the pipeline, the main driver behind the pipeline, which is what we said since day one, it's an aged industry with no exit strategy. And so, as every day that goes by, things change. For us, as we look at the pipeline, we are a little bit more probably cautious right now than we should be because we feel like there's still some room for some other -- for the dealers that we're looking at to normalize. These next two quarters, like Jack spoke about earlier, we need to adjust those margins to what they are today because they were higher in the first two quarters last year of the way we look at it. And some dealers are just still convinced in their head, no, they'll hold, they're going to come back or whatever. So, there's all these little things that kind of really need to normalize. And so, we do have a couple of guys that we're talking to that have kind of come to the realization that, hey, yes, I'm not going to have as much EBITDA. So, our approach is our multiple really hasn't changed. It's -- we're trying to get to a normalization and make sure that everybody is comfortable with how we look at, what we're paying a multiple on, and that's normalizing the higher interest rates on floor plan and across the board, making sure the margins and stuff are in-line with what they're going to be on a yearly basis. So that brings their number down even further than they are. And then, the biggest issue that we're wanting to make sure is we don't want to go buy somebody and have to clean up 27 weeks on hand of outdated inventory. So that inventory things got to kind of flush through. And I think that's what's given us a little bit more of a pause right now or continue in the pause that we've been on is we know that three months from now, six months from now, things are going to look a lot different and that money -- that is going to come back -- the EBITDA is going to continue to kind of normalize on a year-to-year trailing 12. So, we're looking at some stuff and we're just not rushing out there to just jump in and do anything right now.
Noah Zatzkin: Very helpful. Thank you.
Operator: Thank you. [Operator Instructions] I'm not showing any further questions at this time. I'd like to hand the conference back over to Mr. Austin Singleton for closing remarks.
Austin Singleton: Well, I don't really have any closing remarks. We just appreciate everybody on the call, and thank you all.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. You may now disconnect. Everyone, have a wonderful day.